Operator: Good morning ladies and gentlemen. Welcome to the Yellow Pages' Fourth Quarter 2021 Earnings Release Call. Today's conference call contains forward-looking information about Yellow Pages' outlook, objectives, and strategy. These statements are based on assumptions and are subject to important risks and uncertainties. Yellow Pages' actual results could differ materially from expectations discussed. The details of Yellow Pages cautions regarding forward-looking information including key assumptions and risks can be found in Yellow Pages' management discussion and analysts for the fourth quarter 2021. This call is being recorded and webcast and all of the disclosure documents are available on the company's website and on SEDAR. I would now like to turn the meeting over to David Eckert, President and Chief Executive Officer. Please go ahead sir. 
David Eckert: Thank you very much. Good morning everybody and thank you for joining us this morning. It's good to have you here. I am joined today by Franco Sciannamblo, our Senior Vice President and Chief Financial Officer; and Sherilyn King, our Senior Vice President of Marketing Sales and Customer Service. As usual, I'd like to make a few comments at the outset and then Franco will provide some additional detail about our fourth quarter results and the full year 2021 results. And after that, we'd be more than happy to take any questions that you might have. To those of you who are frequent attendees of our sessions, some of what I have to say today might sound familiar and the reason they might sound familiar is because we continue to make great progress on our strategy and with I think very good execution. So, in a way, it's just much more of the same. On the revenue side today, we report more progress towards revenue stability for our company. This quarter that we are reporting is the fifth consecutive quarter since COVID-19 hit and the 10th of the last 12 where we have reported what I call a favorable bending of the revenue curve with a better change in revenue than was reported in the previous quarter. So, we continue our march toward revenue stability. I can also say that the bookings which are the leading indicator of reported revenue continue to be encouraging. We also continue to make investments in and get good results from our revenue initiatives both executing on our programs to expand our sales force and to add to our already strong portfolio of products. A little earlier today we issued two press releases relating to two new very important strategic partnerships in that regard. On the earnings side, another good strong quarter of earnings. Our adjusted EBITDA for the quarter and coincidentally for the full year are the same number -- just by coincidence was a very strong 35.5% holding very, very nicely in spite of the investments and focus we have on revenue and revenue-growing initiatives. Our ever-growing cash balance as of the end of January, so the most recent month that we have, as of the end of January has climbed to approximately $130 million. And during the quarter in the last year, we continued to in a very measured way and a deliberate way, make some very purposeful investments of that cash. Our funding of our defined benefit pension plan is very much on track as one of those. We announced a deficit reduction plan there some quarters ago. And during the just closed year 2021 alone, we made $4 million of voluntary incremental cash payments toward the – or payments towards the defined benefit pension plans wind-up deficit. Yesterday at our quarterly Board meeting, the Board once again declared a dividend. Franco will outline the details of that. And finally, we continue with our NCIB for our common stock. So overall, I continue to be very optimistic, very pleased with our progress. We're on a very I think good and steady march toward revenue stability. Step by step by step by step, I think we're completely on track. So with that I'd like to ask Franco to fill in some of the details about our fourth quarter and 2021 results.
Franco Sciannamblo: Thanks, David. And good morning, everyone. Let me take you through our financial results for our fourth quarter ended December 31, 2021, starting with revenues. So on revenues, our revenues decreased by $8 million or 10.5% year-over-year and amounted to $68.6 million for the fourth quarter, an improvement from the decrease of 11.7% reported last quarter. The decrease in revenues for the quarter is due to the decline of our higher-margin digital and print products and to a lesser extent our lower-margin digital service and resale products. This change in product mix continues to put pressure on our margins. Digital revenues decreased by 8.7% year-over-year to $53.8 million for the fourth quarter, an improvement from the decrease of 10.3% reported last quarter. The decrease in revenues for the quarter is mainly due to the decline in the number of customers, partially offset by an increase in spend per customer. Print revenues decreased by 16.5% year-over-year to $14.8 million for the fourth quarter resulting from a decline in both the customer count and spend per customer. Total revenues for the full year 2021 totaled $287.6 million, a decrease of 13.8% year-over-year and an improvement from the decrease of 17.3% reported in 2020. On adjusted EBITDA, for the quarter, it was impacted by the pressure from revenues and investments in our Telesales capacity and lower wage subsidies received, partially offset by efficiencies and various cost reductions. The efficiencies and cost reductions continue to come from continued optimization in operations and reductions in other operating costs including reductions in our workforce and associated employee expenses. As a result, adjusted EBITDA decreased year-over-year by $3.3 million or 11.9% to $24.4 million, while EBITDA margin was relatively stable at 35.5%, compared to 36% for the same period last year. Revenue pressures coupled with investments in our Telesales force capacity, partially offset by continued optimization will continue to create some pressure on margin in upcoming quarters. Adjusted EBITDA for the full year 2021 was $102 million or 35.5% of revenues. Our workforce as at December 31, decreased to 651 employees compared to 686 at the same date last year. Sales head count increased by 38, while all other head count decreased by a total of 73. Our net earnings for the fourth quarter increased by $21.9 million year-over-year to $38.7 million compared to $16.8 million for the same period last year due to higher recognition of previously unrecognized tax attributes and temporary differences. Earnings before taxes decreased by $3.3 million to $15.9 million for the fourth quarter of 2021 compared to $19.2 million for the same period last year resulting from lower adjusted EBITDA and the increase in restructuring and other charges partially offset by decreases in depreciation and amortization and financial charges. For the full year ended 2021, net earnings totaled $70.6 million. In August -- you recall in August 2021, we entered into a normal-course issuer bid to purchase up to $16 million of common shares in the open market for cancellation over a 12-month period. By the end of the fourth quarter, the company had purchased 251,376 common shares for cash of $3.6 million under this program. On pension contributions as previously announced and as David alluded to earlier, the Board approved the voluntary incremental $4.8 million cash contribution to the company's defined benefit pension plans wind-up deficit in 2021, as part of a deficit reduction plan. During the fourth quarter the company made payments totaling $1.7 million bringing our year-to-date total to 4.0 million in voluntary incremental cash contribution to the plan's wind-up deficit. So we -- overall our strong cash generation has grown cash on hand to approximately $130 million as David mentioned at the end of January. These payments made in 2021 – sorry, this despite payments that we made in 2021 including the early repayment of our last remaining debt of $107 million, the $4 million in voluntary incremental cash contribution, the repurchase of 5.3 million of common shares through our NCIB programs and a total of $14.7 million in dividends to our common shareholders. Finally, the Board of Directors approved a cash dividend of $0.15 per common share payable on March 15 to shareholders of record as at February 25, 2022. This concludes our formal remarks. I'll turn it back over to our moderator and we'll now take any questions. 
Operator:
David Eckert: Thank you. Thank you all for joining us. We appreciate it and we look forward to talking with you in another quarter. Thanks very much. And everybody stay healthy. Bye now. 
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time. Thank you for your participation.